Ezequiel Nieto: Good afternoon and welcome to the Presentation of Results 2024. My name is Ezequiel Nieto. I'm the Investor Relations Director. And first please allow me to refer you to the slide which displays the legal framework under which this presentation must be considered. I would like to introduce you to the speakers of this session Mr. Ángel Escribano, Executive Chairman of the Indra Group; Jose Vicente Los Mozos, CEO of Indra Group; Luis Abril, General Manager of Minsait; and Miguel Forteza, CFO of the Indra Group. Ãngel you have the floor.
Ángel Escribano: Thank you very much and thank you for joining us today. It's a pleasure to be able to address all of you today as the new Executive Chairman of the Indra Group. For those of you who don't know me yet, I have spent over 30 years in the defense and high-technology industry. And during these years I founded and led the company I founded with my brother Javier, which we turned into a benchmark in the defense sector. So we transformed Escribano well from a manufacturer of mechanical components into a leader in high-technology defense products expanding its industrial and technological capabilities. And now I'm facing a new challenge. In the present context in this geopolitical context it's actually the right one. And we are -- of course we are -- of course both the Indra team and myself have the ambition that we need. I am the largest private shareholder in the company because I believe in its potential and its future and we have an ambitious plan to be able to lead the main -- well to achieve the main capabilities and technologies to lead the national and European programs. I have come to drive this change together with this amazing team. And today marks the beginning of a new Indra. At the Munich Security Conference where I was just a couple of weeks ago I saw first on how Europe clearly has the need to strengthen its defense autonomy. For example, Ursula von der Leyen mentioned that Europe should aim to increase its defense spending above -- up to above 3% of its GDP or in the case of JD Vance well he mentioned it is the time to invest in defense because we cannot just presume that American presence will be in Europe forever. Spain is following along the same lines with a commitment to grow its own national industry and Indra will be the main tractor company. At Indra we understood the message and we are ready to respond by increasing our capabilities growing our portfolio of proprietary products and generate high skill jobs. In this context, our vision at Indra Group is clear to become the leading Spanish company in defense, aerospace and advanced digital technologies. We want and we can provide an industrial and technology response. So the great challenges that Spain, the EU and NATO are facing positioning ourselves leaders in both the civilian and military arenas with a multidomain approach. In the land domain, we are going to lead the main vehicle programs such as the Wheeled Combat Vehicles 8x8 or convertible vehicles with our own manufacturing capabilities as well as military mobility with infrastructure and advanced logistics. And as you've probably been able to see at IDEX that took place in Abu Dhabi, we reached agreements with global leaders in military vehicles to expand our international footprint. In the Air domain, we want to reinforce our role as a national systems integrator and as a European provider in programs such as FCAS a program that we actually called and at the same time we'd like to reinforce our role at a national level in supplier in defense programs and the cloud. In the naval domain, we would like to consolidate ourselves as system integrators forging alliances with leading platform providers, especially, in our national industry. In Cyber, we aspire to become a national leader in cybersecurity and cyber defense. Let's just remember that Indra Group has been building national capabilities for over a decade and leading European projects both in EDA and EDF that we've been leading from our company. In space, our objective is to be leaders and become a Tier one European leader. We want to provide the sovereignty that both Spain and Europe require. We have created Indra Space with which we will be leading this amazing change with the value proposition that we will show in the clip that we've prepared for you after this slide. To be able to reach our objectives in the five domains, we are strengthening our industrial and productive capabilities with initiatives, such as the new Indra technology hub that we will introduce later. And along the same lines, we have accelerated our industrial plan to optimize efficiency and increase production, achieve greater autonomy to develop our solutions and ensure a sustainable and continuous growth of our company. Before handing over the floor to Jose Vicente, as I mentioned earlier, I would like to share with you a video to explain our ambitious vision about Indra's role in Space please. [Presentation]
Ángel Escribano: And now, Jose Vicente, you have the floor to share with us all the progress made in the last year.
Jose Vicente Los Mozos: Thank you Ángel. Hello and welcome, ladies and gentlemen to Indra. And Ángel welcome to this company that you know very well from your previous role as Chairman of Escribano, I believe that you know this company better than many of us. On March 6, 2024, we presented our plan late in the future. An ambitious plan based on seven key strategic lines: first, more focus on aerospace and defense; second, the creation of Space NewCo, and as depicted by the video we have just seen increasing Minsait's autonomy by boosting its growth with support of strategic partners; number four, strengthening our presence in new markets; five, activating our portfolio rotation and expanding our ecosystem; number six, increase in investment in technological R&D; and finally, doubling down on our commitment to critical talent. Today after one year, we can say that Leading the Future is embedded into the very DNA of every person at this company. Let me now highlight the most relevant milestones achieved over the past months. Firstly, over the past year we reinforced our leadership in the aerospace and defense industry achieving significant progress in each of the main domains. For example, in the space domain after the spinoff of the Indra Space division and the acquisitions of Deimos Hispasat and Hisdesat, we are now the most integrated space company in Europe in secure communications applications and satellite surveillance, and we are involved in hallmark European and national programs such as EUDAAS 2, EISNET and GMPAS [ph]. Just a few days ago during a meeting with the ESA in Munich, we were told that our achievements in just 12 months position us as a relevant player in the space sector with potential to significantly increase our influence. And this has to be underscored because of the past 12 months our teams have been performing an outstanding job. In the land domain, the majority acquisition of TESS Defence consolidated our position as the prime contractor of major national programs for military ground vehicles such as VCR 8x8 and VAC. In the air domain, we continue to play a key role in FCAS program and we continue to remain strong in the Eurofighter program, therefore, we are consolidating our position in the large programs. We continue to participate as a key systems provider and radar manufacturer for the F110 Frigate program. Finally, we have exported our radar technology internationally. And a testament to this is a joint venture we signed with the Edge Group from the Arab Emirates where we will be expanding our footprint in the Middle East and in other regions outside the European Union and NATO. Additionally, we have executed key contracts. We supply mobile radars for military air traffic to the Polish Air Force and also the first space surveillance radar sold to the German Air Force. So beyond reinforcing our position in major programs and benchmark technologies, we have been taking huge steps to consolidate our position in aerospace and defense. We have allocated more than 90% of our capital to aerospace and defense because we must accelerate the change in our company's profile. As stated by our Chairman there are some wins that we have to tap into. That's why we have reinforced our offering around 11 priority systems, which will enable us to achieve a greater degree of standardization in our solutions and better focus our sales force. We have also launched the new Indra Industrial Plan with standardization, vertical integration and supplier chain rationalization as key pillars supporting the process. Thus, we will gain greater efficiency and we will be reducing our product delivery lead times to customers. So this is a crucial time in the European defense industry and therefore lead times are just as critical. Thanks to this approach we are transforming our business model. As you can see on the right-hand side of the slide, back in 2023 Aerospace and Defense represented less than half of our EBITDA, whereas, by 2026 it is expected to account for more than 60% of our EBITDA forecast estimated at over €750 million. Regarding Minsait, we continue making steady progress. Regarding its growth and efficiency plan, I believe that Luis Abril and his team did a great job. And Minsait is outperforming its, appears and therefore, we have become a benchmark. However, we need to consolidate this leadership in digitalization and high-value technologies further. In this first year of the plan, our digital offering is gaining increasingly more weight and already accounts for more than 50% of total revenue with a strong growth in the modernization of legacy systems, migration to the cloud and cyber security all of them being key areas for our clients' digital transformation. As to Artificial Intelligence, we posted growth of more than 50% in the development of use cases for our clients, while also advancing the internal application of AI in our processes. As a result we have achieved a level of efficiency in our software development processes where Artificial Intelligence is applied. We're also developing a new commercial model, for our offering and priority customer which has allowed us to increase the gross margin in the priority bid awards by five percentage points compared to the overall awards. On the other hand, we continue strengthening our international presence in strategic markets, as evidenced by some key projects such as, the transformation of critical systems of the Saudi Arabian Power Grid. Besides these advances we are still in the process of incorporating a strategic partner that will provide Minsait with more flexibility to accelerate its growth and consolidate itself as a global benchmark in the digital sector. And let me underscore that, we are open, but we are not going to rush things up. Moving on to our international expansion, fiscal year 2024 was, key for Indra. Our growth outside Spain was driven by our key geographies that is; United States, Germany, the United Kingdom, Poland, the Emirates and Saudi Arabia going from 45 countries down to 90 where we are now placing our focus. Let's take a look at our main achievements over the period. In North American Central and Northern Europe, we were able to nearly double our order intake compared to 2023. And this was possible thanks to our expansion in the United States and Canada, where we were able to formalize some key contracts such as the one signed with the U.S. Federal Aviation Administration and the agreement with the NAV CANADA for air traffic management. In the Middle East and North Africa, order intake grew by 41% compared to 2023. In the Emirates the agreement with EDGE Group for local production of radars for NATO countries is noteworthy. In Saudi Arabia, we signed agreements for the development of the first virtual air traffic tower in Al Ula and for projects to transform the country's power grid. Finally, in Latin America and Southern Europe, with a 12% increase in order intake we were able to strengthen our position with the acquisition of MQA for IT services in Colombia. On the other hand, we also made progress in our M&A strategy which is a fundamental pillar to bolster our growth our key divisions and consolidate our presence in strategic markets globally. In 2024, we also carried out transactions across our lines of business with a priority focus on defense and space, these being sectors where we focus most of our investment in line with our portfolio rotation strategy towards these sectors. Let us now talk about the sixth strategic line and that is boosting our investment in technological R&D. Innovation is at the very heart of Indra. We are a technology company. And we are going to expedite our investment in technological development to galvanize ourselves as leaders in aerospace, defense and advanced technologies. For this purpose, we are developing a technological roadmap to speed up the development of new products with advancements in Microelectronics, AESA Radars, Gallium Nitride, Quantum Technologies and Advanced Optronics. We want to take a leadership role in advanced digital technologies such as Artificial Intelligence and Quantum Computing. The Indra Technology project runs along these lines and it's going to be a benchmark in our country. Our advanced technology hub will enable us to continue invest in innovation critical talent, industrial development and sustainability in line with our net zero target. All these efforts will consolidate us as a benchmarking technology and innovation. And, of course, I want to now refer to our most important asset our people, the very engine of the company and our innovation is talent. In 2024, we created 2,500 new technology jobs surpassing more than half of our target of held new positions by 2026, when we presented our strategic plan. For example in Aerospace and Defense, the workforce grew by 14%, establishing us as a benchmark in the industry. In addition to attracting talent, we are strengthening their development and retention achieving a reduction in voluntary turnover by more than three percentage points, therefore leaving double-digit figures behind. Our commitment to talent has been recognized for example with a Top Employer shield for the seventh consecutive year and Minsait in turn was highlighted by LinkedIn in 2024. In short, we continue reinforcing our culture of excellence, alluring and retaining the best professionals to build the future of our company. And let me take this opportunity to extend my appreciation to all of the companies teams for their effort and dedication in order to reach the first year standing on certain strong foundations in terms of progress. However, we still have a long way to go ahead of us. All-in-all and as we will detail when reviewing the financial results fiscal year 2024 was a positive year for Indra. We achieved revenue of more than €4.8 billion, with an EBITDA margin of 11.3% and an EBIT margin of 9%, thereby consolidating a pathway of profitable and sustained growth. These results not only reflect the company's strong performance, but also lay a solid foundation to ensure that we need our 2026 ambition. The plans for 2026 has clear-cut and achievable goals that we are going to attain. Let us now talk about our 2024 financial results. 2024 was a record year for Indra. We posted solid results that reinforce our progress, and enable us to look to the future with confidence and optimism. Our order backlog grew by 7% ensuring greater stability and visibility in the business driven by the strength in defense, international expansion and some key contracts. Order intake increased by 17%. We should highlight the integrated systems and simulation areas in defense, as well as new contracts in ATM in Canada, Colombia and Vietnam respectively. Revenue climbed by 11.5%, therefore reaching €4,843 million. Beyond revenue growth we were also able to improve profitability by one percentage point that is half, what we set out under the strategic plan. The EBITDA margin reached 11.3% while EBIT margin grew up to 9%, reflecting therefore operational improvements and a change in the business model mix. This performance resulted in a result 35% higher year-on-year, with a cash generation of €328 million over the period. As a result, we were able to reduce our net debt to negative levels closing the fiscal year with a net cash position standing at €86 million. As a result, we can now look into the future standing on solid grounds and with confidence. So as you can see, this has been 12 months of intense work. However, we were able to deliver positive results in the Defense business. Order intake climbed by 29% mainly thanks to the contribution from integrated systems and simulation. Revenue also grew successfully by 26% in fiscal 2024 driven by FCAS Simulation and Space. In addition to this double-digit growth, we were able to maintain constant profitability with an EBITDA margin of 20% and an EBIT margin of 18%. They both beat benchmark margins in the Defense sector compared to our European peers. Air Traffic is one of Indra Group's jewels. The decision to create its own division advancing its autonomy resulted in very good outcomes -- outstanding outcomes in 2024 and this double-digit growth trend continued throughout the full 12 months and the positive performance shown in order intake with a growth of 58% is accounted for by contracts in Canada, Colombia and Vietnam, as well as by the contribution of Park Air in Brazil. Similarly, sales increased by 30% across all geographies, thanks to both organic growth and the inorganic contribution of Park Air in the United Kingdom and SELEX in the United States. If we now take a look at the Mobility division's results order intake climbed by 18% as explained by contracts for urban transportation management in Ireland and all projects in the United States. We are already present in five states in the United States. Sales slid by 1% due to declines in revenue from AMEA and America, while margins improved significantly, thanks to a lower impact from problematic projects and a greater focus on profitability. If we now take a look at Minsait, we continue to expand in our portfolio. Order intake and revenues posting growth of 13%, 9% and 7% respectively, mainly driven by Energy & Industry and Financial Services. These are benchmark growth rates in its industry compared to our peers. Margins continue to grow with the EBITDA margin improving from 7.7%, up to 8.1% and EBIT margin from 5.4% to 5.9%. If we now take a look at our 2024 guidance, the first year of our strategic, Leading the Future plan, we are supposing all the objectives that we set ourselves at the beginning of the year and those revised in July. In terms of revenue, we were able to post €4.907 billion in local currency and €4.843 billion reported, reflecting therefore solid growth that exceeded expectations at the beginning of the year and at midyear. Final EBIT results also outstripped expectations reaching €438 million. Finally, in terms of free cash flow or FCF, we closed the year with €328 million surpassing our updated guidance by up to €68 million. This outstanding result demonstrates our strong cash generation and financial management. Regarding our outlook and objectives for 2025, we expect to surpass €5.200 billion in revenue in local currency, which accounts for significant growth compared to €4.843 billion reported in fiscal 2024. Our EBIT target is to exceed €490 million. And finally, as for FCF, we aim to generate more than €300 million. Miguel will now provide you with further details on some of our key financials.
Miguel Forteza: Thank you, Jose Vicente. And let's now continue taking a look at the most relevant financial results. First, I'd like to highlight the very positive evolution of free cash flow, which reached €328 million in the whole year. It is an excellent figure taking into account the nonpayment of €41 million in the second quarter in taxes linked to the 2021-2023 remuneration plan. So once again, the performance of the fourth quarter was very positive, thanks to the high concentration of collections in the last month, following the usual seasonal pattern of the company. And regarding the evolution of working capital, I would like to highlight the positive change in day sales outstanding, which is minus seven days compared to zero days in 2023. This is a result of our continuous operational efforts to optimize cash flow generation. This improvement is mainly explained by a reduction of 10 days in the average collection time and one day in the average payment period, which more than compensates for a slight increase in stock due to the business growth. Let's now try to explain the very positive evolution of our net financial debt throughout the year given that we ended with a net cash position of €86 million compared to a net debt of €107 million in 2023. Out of all different lines, I must highlight the exceptionally high operating cash flow of €541 million, which was €19 million higher than that of last year, thanks to the higher growth and operating profitability of all our divisions. As a result, the leverage ratio now stands at minus 0.2 times net debt to EBITDA, which represents an improvement of 0.5 times compared to December 2023. And last on our debt structure, I would like to highlight the reduction of gross debt to €530 million compared to over €700 million in 2023. As a result the average, debt maturity stands at 1.3 years with an average cost of 4.2%. And cash position at the end of December of €616 million. And now I'd like to give the floor to Ángel Escribano to close the presentation.
Ángel Escribano: Thank you, Miguel. As Jose Vicente mentioned, we are making -- or taking steps to achieve the objectives of our strategic plan. We have also seen that the results of 2024 exceeded expectations, which is excellent news. And moreover, I am sure that we can improve them even further. We have favorable wins given the current geopolitical situation. I am fully committed to the change we're making investing in technological capabilities and innovation to transform ourselves into product and system company for the defense and space sectors. It is time to keep on growing and to realize our ambition of becoming a €10 billion company. Please allow me to explain my vision for the Indra Group in 2030. In ground vehicles, we will continue evolving with platforms such as WCV and CS and new models giving ourselves the necessary capabilities to design and manufacture the vehicles of the future demanded by our armed forces. In defense electronics, we will continue developing an advanced portfolio that will include radar sensors electronic warfare and C4I also command and control systems increasing the use of AI. In ammunition and weapons, we will expand our offering with UAVs and anti-UAS systems, munitions and missiles equipping ourselves with the necessary capabilities to manufacture them and deploy them in our armed forces. In space, we would like to differentiate military and civil sectors. We will become a key European player in secure communications, surveillance and space services contributing to the protection and control of the space. And additionally, we will secure our country's strategic capability in a sector that's important for national and European sovereignty space. In Air Traffic, we will reinforce and further accelerate our growth and our expansion focusing on key markets such as the U.S. where we just reached shortly. In Mobility, we will invest in intelligent transportation solutions with multimodal solutions and connected vehicles to transform the sector. In artificial intelligence, we will also focus on prioritizing the development of artificial intelligence and other key technologies to ensure multi-domain superiority and maximize the automation of critical processes. And finally, we will provide Minsait with greater flexibility to make the most appropriate decisions regarding the entry of a new partner. And so, we will keep on driving selective mergers and acquisitions, as well as a strategic alliance, especially in weapons and ammunition by relaunching our project Indraventures, through which we will invest in companies or start-ups to boost their growth. And this vision, will allow us to become a productive company. And we will have autonomy to manufacture and deploy our own products and systems. We know, this is a demanding challenge but our achievements and the solid foundation that we have built, make us -- help us be certain that we will succeed. It is time to accelerate and move forward, stronger than ever. And this is the end of our presentation, our vision and the key elements regarding this Indra of the Future that we will work on. Thank you very much for your attention, and we can now have a Q&A session and we'll be very happy to answer your questions. Thank you.
Operator: We will start the Q&A session. We will start with the participants right here. And we will start with the first question from Beatriz.
Q – Beatriz Rodriguez: Beatriz from Bestinver. Well, first of all congratulations, for your results and thank you very much for answering my questions three. Now taking the opportunity, the Chairman is here and first of all congratulations, for your appointment. And I would like to know which is the road map or your vision for the company for the next three to five years? And second, we believe there is still some uncertainty as for the recent purchase of Hispasat. I would like to know, if you're going to give more details about it. And last, I would like to know, if you have advanced in the decision on payments or having a new partner in Minsait? Thank you.
Ángel Escribano: Great. Thank you. Thank you for your question. Well, on the road map for the next three to five years, let's see. Well, clearly, we have a defined strategy. We are working very hard to implement it. And in this -- in the short term three to five years, it is not too long of a term, we would like to turn this company into a company that's devoted to manufacturing and that focuses around customer service, and delivering products on time and have all the capabilities within our own factories. And to do so, we have a strong plan -- a strong investment plan to buy assets and equipment and machinery, and increase the number of workers. We have already grown by 2,500 new employees and we'd like to recover capabilities that were in the hands of other vendors, out of the scope of our company. And to do so, while the company presented the plan, Leading the Future, one year ago. And of course following it, we are going to meet those objectives. And on the purchase of Hispasat, well, what can I say about the purchase of Hispasat. Hispasat is an asset. It is an essential asset for the company. It was part of our plan, and we want to turn space. We want to reach €1 billion of turnover by 2030. And now, as you know, we have reached the commitment to acquire it. The company is not just -- it's not yet, part of Indra. We're probably closer in September and the information we can share with you is what you've ready got which is exactly what Redeia shared with us. And yes, you have the third question divestment. Well, about divestment. Well, in Leading the Future, we also mentioned that we were going to divest. And we will divest, if they are ready to be done, but we will not carry out bad sales. We're looking to find person or the right partners to carry them out if there's an opportunity to do so and we will do then if it's good for the company. And today as the company as you can see can carry out the acquisition of other companies or partners that can be included in our portfolio because we have the financial muscle to do so. And as you can see the results show. We don't really need to divest even if they sell things to us before we make a decision. Thank you.
Operator: Next question Carlos Treviño from Santander.
Carlos Treviño: Thank you. Carlos Treviño, Santander. Two questions. Following the question from Beatriz on Minsait. When you're saying that you are not going to rush things, I guess in the past few months, you have received some propositions. Which are the -- what's the most relevant for you and the idea of not rushing? Would you give priority to an industrial partner rather than a financial partner or the valuation of the partner, I believe, the most important aspect. And second on defense, which are the specific capabilities you're missing within the company and the things that you believe could be added to the company? Thank you.
Jose Vicente de Los Mozos: What's the most important aspect of Minsait? Our workforce and our customers Minsait has been built over the years. And we have a very important team around here, but also in Latin America. We had to seek the best solutions for both our clients and for our workforce. You know that there are certain valuations because you, at Santander, are conducting your own assessment and evaluation and we also see what's happening in the media outlets. Very often they carry valuations ahead of time. We know the valuations we have to stick to. And most importantly, when we sell Minsait, the purpose is not to pay out an extraordinary dividend, but rather to invest those funds in another company when the time comes. Such timing is critical for us in order to act in a responsible manner and in the best possible time. As for our defense capabilities, I come from the industrial engineering sector and I'm really happy that the Chairman comes from a similar background. I was rather surprised the lack of manufacturing capabilities so far and we have to rationalize that because here, we're not talking about cost anymore and last year I explained this. There are 16 radar families with a 10% standardization and we are working on another 11 families with a 60% standardization. In the next three years, we have to secure lead-time. In the face of the Ukraine conflict, when we get offers, the key driver is when the materials will be delivered. And today we need to improve if we really want to climb and increase our sales. David you have another question?
David Sanchez: Good afternoon From JB Capital and the question on Minsait. We see an improvement of margins in the fourth quarter. And can you please provide more visibility on the main levers for that margin improvement? And also what your outlook is for this business in 2025? Thank you.
Miguel Forteza: Thank you, David. Well, we keep on improving our margin and we've been working on different levels for the past two, three years and I believe those are the levers you already know. Basically they can be summarized in improving operations and we've got a churn automation including AI in software development. So, that's the first group of levers. There's a second block that's linked to changing our offer mix. We come from the world of services. And now we're getting into the world of projects with specific capabilities. So, we're going into data, AI, IoT, and different vanguard technologies that let us defend higher margins. And the third group of levers is basically linked to a geographical concentration. And Jose Vicente was mentioning for the whole group, but in the case of Minsait, well, this is – of course local scale is very important when we come from being in dozens of countries. And now we are focusing around six or seven geographies, where we have several thousand people and to make sure that that local scale allows us to have better margins. And the geographies are the ones you already know Spain, Italy, Mexico, Colombia and Brazil, mainly, I'm missing some. But these are the three main groups of levers. And they are – they're also accompanied by the growth and it allows us to increase our margins as well. And it is also true that in the fourth quarter 2024, as you mentioned, there's a peak in our margin. That's just circumstantial. We have reached a series of milestones. That allowed us to increase our sales and that's why the margin was a bit higher. But in any case, the trend is the one you can see. And I'm answering your second question about the outlook for 2025. We see that we could be around 6% and 6.5% that will be our margin and we could be there comfortably. And then don't say comfortably then I'll probably ask for more. Second question.
Operator: The next question from Juan Cánovas from Alantra Equities.
Juan Cánovas: And I'd like to ask the Chairman about his vision around the defense business work? And what can you get in terms of market share? Or what is the size? Well, the size of business for Indra, you could reach in about five years. And I see you have mentioned for the first time Weapons & Ammunition. Well, in my very humble opinion, there isn't much overlap with what Indra is doing today. How do you believe you could develop this segment, especially taking into account that one of the main ammunition – I mean one of the main manufacturers [indiscernible]?
Ángel Escribano: Thank you, Juan for your questions. Well in terms of size, I mean well size right now and the opportunities are huge. I mean multiplying – this has happened to other companies in the sector already. Some of them are German or French. I mean multiplying the business by 10 – the value by 10. Well that's the great opportunity we've got. It's not because they did better than we did because they did not start being better, they were just more ready. But it is not late. We can do it. We have made a decision to do it. We have the means and the resources to do it. We've got the professionals to do it and the opportunities to achieve it as well. So in these investments and this idea of bringing back home manufacturing capabilities, we – well the executive team believe that we're going to be able to meet the strategic plan two years in advance. I think that’s – this is an ambitious vision. But I believe it's quite – it's not optimistic for the present times but those are not made up by Indra. They actually stem from the geopolitical situation. So given that we are ready to carry them out and with the investments we've made last year I mean having a majority stake at TESS and the new contracts or vehicles. We are going to focus our manufacturing capabilities and we're going to produce on time with quality and we are trying to grow in the market, especially among – in the ground vehicle sector. And the demand is around six or seven times higher than production capabilities. And that's why at Indra, Indra has a lot of room to grow in that sector and that's why we made a decision to invest in that sector. And I mean it's not such a big investment. We were already there. We just didn't have all the parts, all the pieces of the parcel and it was not all integrated. So the vision of the company well, I'd like to mention that I think we're going to get to those €10 billion two years in advance because we are in the right situation to do so. If we were much more optimistic I think we could even make it even one year earlier. But let's say two, because otherwise you write it down and you would ask about it in 2027. So why Ammunition & Weapons? Well that's not just like that. I mean although that make sense I mean we are manufacturing vehicles, we are integrating vehicles and those vehicles have Ammunition & Weapons. We are not going to sell the vehicles without a cannon or the ammunition. It's the whole system has been delivered and Indra is a system company and we sell those systems. Loitering ammunition that well luckily -- well just so important today. But that's just ammunition. And it's another part of our company and we develop those aircraft or UAVs that have I mean we carry low. We don't manufacture it we just buy it. But it needs to be part of our portfolio. We need to have the -- ammunition as part of our portfolio, and they are using artificial intelligence program missions and they choose the possible targets that armies or the military chooses. And that's why it is aligned with our products and aligned with the company that's going towards so further integration and closer to what's been in demand. I think we've read the market right, and that's what where we're going towards because we have the chance to do it and there's a gap there to be able to grab it. Thank you. I think we've got one more question here. Please go ahead.
Ivan San Félix: Yes, good afternoon. Ivan San Félix from RENTA 4. Congratulations for your results. And first, I'd like to ask about the TESS Defense. Now you own 51% of it and it's quite long that there have been issues with the delivery. Now that Indra is managing it, have you already felt some positive changes? Do you trust you're going to be able to meet the delivery schedule? And also, I thought I understood that the sales of Minsait would be used to well for new acquisitions. So there'll probably be nothing else in case there is no monetization coming from Minsait. Is that the case?
Ángel Escribano: Great, Ivan. Well, the fact that we got a majority stake at TESS, it's recent and the change has been big. Well, it's due to the loss of control. I mean I was involved in TESS in my previous job. But the thing is that we hadn't lost control. There were four shareholders in the company. There were four of us. We had to agree and we needed to reach a consensus. So we're missing this or that. So the fact that Indra -- I mean now Indra is the one that organize it, there's just one party that sets the pace for the rest. And we have that great -- or the ability to set that pace and do that under three shareholders that are still at TESS who own minority stake. Yes, they are shareholders and not as much as Indra. Indra controls the company. Indra is the one that sets the pace. And so to speak, there are suppliers or vendors like any other vendor. And the agreement is that Indra will be able to change the vendors and just have full control of the company. We are still -- it's not just I buy the company and I'm in charge of everything the following day. There's a process and this process will probably finish in the next weeks. So now, we are the ones who will manage purchases procurement terms and what's being produced and when it has to be done. And as you know and we have already delivered the first vehicles, but they have been given to the buyers. And we have a program and we've reached an agreement with the Ministry of Defense. And this program has suffered -- we could see that they have suffered some delays, but it's actually not the case. It was hard to get a system or systems working. It can be a system or systems with the different vendors involved. I mean it was a bit harder than expected to make sure everything worked perfectly. So I mean make sure all the gears were working together was the tough part. On divestments on Minsait or any other assets, well, the opinion of or my opinion and also the opinion of Jose Vicente and rest, we are not going to divest to have a -- to offer a dividend. If we are going to divest, it will be because we have a plan to invest in new assets that will provide more workload to help us go towards the plan -- our plan to make sure Indra is a defense company that the fourth economy in Europe deserves. Today, we haven't got that size and we will get there. And to do so we have our plan. And as I mentioned earlier, we will try to get there two years in defense. And then we have another one in 2028 that will be ambitious enough to be up there and be -- in 2035 to be a player of €20 billion or whatever we might be, so to become a big player in the defense sector, because I think we deserve it.
Ivan San Félix: Thank you.
Ezequiel Nieto: Okay. We are right on time. I don't know whether you have any closing remarks.
Jose Vicente Los Mozos: Thank you all for attending this results presentation. When we implemented the plan one year ago, many of you had some doubt about it. Now there's no doubt that this plan is already effect. And as the Chairman said, our 2030 ambition is going to be delivered in 2028, which is not an easy task. There is plenty of talent. Therefore, our number one priority is to enhance lead time. And to this end, we have to prepare industrialization rationalization plans in order to enhance industrial agility across the organization. Thank you all for attending.
Ezequiel Nieto: Thank you very much. We have come to the end of the presentation.